Operator: Greetings, and welcome to the TransAct Technologies First Quarter 2025 Earnings Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ryan Gardella, Investor Relations. Please go ahead, sir.
Ryan Gardella: Thank you. Good afternoon, and welcome to the TransAct Technologies first quarter 2025 earnings call. Today, we'll be discussing the results announced in our press release issued after market close. Joining us from the company is CEO, John Dillon; and President and CFO, Steve DeMartino. Today's call will include a discussion of the company's key operating strategies, the progress of these initiatives and details of our first quarter financial results. We will then open the call to participants for questions. As a reminder, this conference call contains statements about future events and expectations, which are forward-looking in nature. Statements on this call may be deemed as forward-looking, and actual results may differ materially. For a full list of risks inherent to the business and the company, please refer to the company's SEC filings including reports on Form 10-K and 10-Q. TransAct undertakes no obligation to revise or update any forward-looking statements to reflect eventual circumstances that occur after the call. Today's call and webcast will include non-GAAP financial measures in the meaning of SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release as well as on the company's website. And with that, I'd like to turn the call over to John.
John Dillon : Thanks, Ryan, and good afternoon, everyone, and thanks for joining us today. I'm pleased to report that TransAct started off 2025 with a strong quarter, delivering record BOHA Terminals sales. We had 2,350 units, which surpassed last quarter's results, which I believe were 16,139 units. This performance in our foodservice technology or FST business is a high bar for the year and why we believe it's likely to be our strongest quarter for 2025, we're pleased with the strength and execution of our revised go-to-market strategies and the dedication of our reorganized sales team. So let me start by reviewing some of the FST highlights for the quarter. First, total FST revenue increased to $14.9 million, up an impressive 49% year-over-year, driven largely by hardware sales, recurring FST revenue remained stable, and we're happy to report positive net income and adjusted EBITDA for the quarter, demonstrating that our operational and cost discipline is delivering positive results. Clearly, we're encouraged by this momentum, and our team is excited about what the potential for the future. The key driver for this quarter was the conversion of 3 Tier 1 customers from our first-generation BOHA Terminal to the BOHA Terminal 2, these upgrades include rollouts with a major QSR and convenience store chains and highlight the confidence our customers have in the platform. The Terminal 2 is streamlining operations, driving efficiency and that sales story is resonating. The feedback we're getting is positive that fuels our optimism for continued growth. Our sales teams refined lead tracking and nurturing processes, which I spent significant time and effort overhauling are paying off with what I consider well-scrubbed pipeline. A lot of times, pipelines are kind of a mess, but we're feeling like we're in pretty good shape, and it's holding steady quarter-over-quarter. We also, as previously reported, continue targeting the about 40,000 unit AccuDate 9,700 installed base. This was a prior terminal, probably the baby terminal in the early days, then we had the Terminal 1, then we had the Terminal 2. So that's a significant long-term opportunity, and we're targeting that, I believe, effectively. Our success in convenience store market demonstrates a solid footing that we're finding with this Terminal 2. We secured a major BOHA Terminal 2 upgrade order with a leading national convenience store chain that operates over 700 locations. What started out as a simple pilot has expanded into a full rollout. The chain is replacing legacy workstations to enhance food safety, labeling and operational tests. The rollout showcases our growing traction in the convenience store vertical, which we believe is an important vertical, and there's a lot of headroom there and opportunity in the future. We're seeing strong adoption in this subvertical and expect this win to unlock further opportunities as we move forward. The success reinforces the commitment to what I call a land-and-expand strategy where we secure initial deployments and then grow our footprint over time. Being a little glib here, simple wins, easy expansion. The product is probably the best salesperson we have on the staff. It works well. It's reliable. It delivers the value we promise. And once we get that unit in the store and operational, the customers easily see the advantage, and that's the way we expand the business. We're very proud to demonstrate the power of the terminal and its applicability across a large range of industries. In Q1, we got a contract with the national health care food service provider to deploy BOHA terminals for nutritional labeling and compliance in hospital and care facility kitchen. This new use case in a large subvertical demonstrates the flexibility of the technology, how it adapts seamlessly to different demands for different industries, in this case, health care, yet delivering the same reliability that the restaurant and food service customers, the typical food service customers that we target rely on. This foothold opens new growth avenues and proves that BOHA is a versatile platform built for innovation, and we think we can serve a number of different industries. We're excited to explore that, and we believe the terminal can drive a lot of value. Shifting over to casino and gaming, we're seeing the rebound that we forecasted last quarter with notable strength in our domestic markets. We recorded casino and gaming revenue of $6.7 million, up 18% year-over-year and 41% sequentially. The growth was driven by improving market demand, as we highlighted on our last call, and we're pleased that all of our major US OEM partners have returned to what we call buying positions after resolving the prior inventory oversupply. A new win with a major OEM also was a significant contributor to this quarter's success, and we're eager to deepen the partnership with that supplier moving forward. Our new Epic TR80, it's a thermal roll printer, has now fully entered the market and is available for purchase. It handles printing and sports betting kiosks, video lottery terminals and other non-casino gaming applications. And during Q&A, if somebody wants to know what those are, I'd be happy to help describe that, but it's not betting the same way. It's more like a lottery system for things like a Lions Club or a rotary club or a veterans home. Anyway, the TR80 is gaining momentum, and we expect sales to climb steadily through 2025, complementing the existing casino and gaming portfolio. Additionally, our partnership with CasinoTrac continues to drive EPICENTRAL sales through their SlotSUITE offering, which generates subscription-based revenue that enhances player engagement and supports our recurring revenue income stream. We are mindful of the macroeconomic uncertainties, yet we see no systemic challenges in the mid-term for our casino and gaming business and the industry's somewhat slow and pretty jerky, but nonetheless, headed up to the right, the recovery gives us confidence for the year ahead. Next, let me provide you with an update on the strategic review process. As you've likely seen in our press release, the Board of Directors and management have determined that it would be most appropriate to suspend the process for now, due to increasing levels of uncertainty in the macroeconomic environment at this time. And then given the increased momentum in both the FST and casino business, we think slowing down right now is the best strategy and yet the TransAct and our Board and management feel the intention to focus on incremental growth now executing on our corporate plan and in order to expand the business and invest we're prudent, yet retaining a commitment to disciplined spending. If and when conditions seem more favorable and/or opportunities arise, the Board and management will jump right back into resuming the process as always, the Board is committed to maximizing stockholder value and is constantly evaluating that strategy to achieve that goal. Before I turn the call over to Steve, I wanted to provide a brief update on our financial outlook for 2025. We're maintaining a full year revenue guidance of $47 million to $52 million with adjusted EBITDA now expected to range from breakeven to negative $1.5 million. That moves the bottom end of the range up by $0.5 million based on a solid first quarter. The ranges we assume, we see continue to be based on recovery in casino and gaming throughout the year without any unexpected disruption in either supply or demand, while we believe this will be the case, we felt it was important to highlight this with some additional color. We have a strong balance sheet, ample working capital to provide a buffer against economic and potential uncertain headwinds. We are pretty strong in the area of cost discipline, evident in Q1's positive EBITDA and positions us well for the year. So I'm pretty comfortable with that. And in summary, we're pleased with the strong first quarter. We achieved record BOHA! terminal sales. We delivered positive net income and EBITDA and drove robust growth in FST and casino and gaming sales here to be back. The BOHA! platform is demonstrating its value to customers in convenience stores, healthcare and beyond. We're seeing the rebound, we anticipated last quarter in casino and gaming, including a win with a new OEM customer that helped us generate strong results for products like the TR80. We're focused on execution, improving processes and fiscal discipline as I believe you hope we would be. And net-net, I'm pleased with the results for the quarter and confident in our team's ability to execute during the remainder of the year. And with that, I'd like to hand the call over to Steve for a detailed review of the financials. Steve?
Steve DeMartino: Thank you, John. And thanks, everyone, for joining us today. Let's take a look at our first quarter results in a little more detail. Our total net sales for the first quarter were $13.1 million, which was up 28% sequentially and also up 22% compared to $10.7 million in the prior year period. Sales from our foodservice technology market, or FST, for the first quarter were $4.9 million, and that was up 14% sequentially and also up 49% compared to $3.3 million in the prior year period. Our recurring FST sales, which includes software and service subscriptions as well as consumable label sales for the first quarter were $2.7 million. That was down 3% sequentially, but up 10% compared to $2.4 million in last year's first quarter. Our ARPU for the first quarter of 25 was $761, and that was down 13% sequentially but up 15% year-over-year. As we've reminded on past calls, we continue to sell a number of our BOHA! terminals to a large QSR with no recurring revenue attached to start. While this presents an opportunity to sell recurring elements in the future, for now, they continue to represent a drag on our ARPU number. In the quarter, a large number of our terminals fell into this category again, and we expect this to continue into the near future. Our casino and gaming sales were $6.7 million, that was up 41% sequentially and up 18% year-over-year, reflecting the market rebound John discussed as well as sales from a new OEM win combined with normalized buying levels from all major OEMs. Our POS automation sales for the first quarter declined 5% from the prior year to $618,000. This slight decline was due to continued strong competitive environment as other market participants have fully restored their supply chains. We will continue to adjust pricing, if necessary, to remain active in this market. Moving to TransAct Services Group, or TSG, for the first quarter. TSG sales were down 22% year-over-year to $808,000. This decrease was largely due to strong demand for legacy spare parts in the prior year quarter that didn't repeat. We expect TSG sales to remain approximately at this quarterly run rate going forward, consistent with normalized demand. Moving down the income statement. Our first quarter gross margin was 48.7%, and that was down from 52.6% in the prior year period. This is largely a result of a higher mix of FST hardware sales, which carry lower margins than our casino and gaming products. Going forward, we expect our gross margin to remain in the mid- to high 40% range for the remainder of 2025. Before leaving the gross margin discussion, I wanted to briefly touch on our tariff exposure and its impact on our product costs. As it currently stands, we have added a small tariff surcharge on applicable imported items mainly our casino and gaming printers so far to maintain our margin. I want to emphasize that while this is a highly fluid situation, currently, our BOHA! terminals are exempt from any tariffs. We'll continue to monitor this situation, and we'll update you as needed. Turning to our operating expenses. Our total OpEx for the first quarter decreased by 8% from the prior year first quarter to $6.4 million. The year-over-year decline reflects the continued impact from several rounds of cost reduction initiatives that we took in 2023 and 2024 that totaled about $5 million in annualized savings. We began to fully realize these savings during the second half of 2024 and expect to continue to realize them during 2025 though somewhat offset by typical annual cost of living and other inflationary increases. Our engineering and R&D expenses for the first quarter were down 17% year-over-year to $1.6 million. Our selling and marketing expenses remained flat at $2.1 million and our G&A expenses declined by 8% to $2.7 million. On the operating income line, we just missed reaching breakeven for the first quarter, recording a slight operating loss of $15,000 or a negative one tenth of 0.1% of net sales. This compares to an operating loss of $1.3 million or negative 12.2% of net sales in the prior year period. On the bottom line, I'm happy to report that we broke through breakeven and recorded positive net income of $19,000, which was -- which represented EPS of 0, and that compared to a net loss of $1 million or a $0.10 loss per diluted share in the year ago period. Our adjusted EBITDA for the quarter also crossed over to the positive territory level, reaching $544,000, and that was up from a negative $701,000 in the prior year period. And lastly, turning to our balance sheet. It continues to remain solid. Our cash and cash equivalents held steady at $14.2 million, which was relatively consistent with our year-end cash balance of $14.4 million, and our debt balance remained unchanged from year-end and only the $3 million of required minimum borrowings under our $10 million credit facility. So, overall, our liquidity position continues to be strong. And with that, I'd like to turn the call over to the operator for questions. Operator?
Operator: Thank you, sir. At this time, we will be conducting a question-and-answer session. [Operator Instructions] The first question now we have comes from Jeff Martin of ROTH MKM. Please go ahead.
Jeff Martin: Thanks. Good afternoon John and Steve. Hope you're both doing well. John, can we start on the FST pipeline? You mentioned that it's stable. How is conversion progressing? And what end markets are you seeing the most traction in currently? Hello? John?
John Dillon: I had you all on mute, so you wouldn't hear the man with a leaf blower in the background, he's blown the leaves off my deck. Sorry about that. I'm just kidding, but it's somewhat true. So, good question, Jeff. The FST machinery is working pretty well. We had to recast the whole thing, rebuild a lot of it. And what we're seeing now regionally, I think when we went into the market, we thought that restaurants, your typical fine dining in restaurants like that would be a big consumer of the technology, but their challenges are pretty simple compared to large food service management companies and the grab-and-go market. And both grab-and-go, which is a sophisticated area where you make a food product and you have to label it with the nutritional items and all of a sudden, that means the applications have to be more sophisticated. You have to have -- you have to know what the ingredients are. And you have to go out to a database to look up what calorie content, the glycerides, the cholesterol, the fat content, sugars, et cetera, sodium. And that has to all be on the label in addition to when it was made and when it needs to be consumed. So, we're doing really well there. And in particular, if you do grab-and-go sushi, which is made fresh every day, that's kind of a scary thing for a consumer, and you really want to make sure that the food safety technology supports that, and we're doing really well in that space with several large national sushi providers, and they provide -- they don't run the stores they basically provide the sushi product that sit there and those counters and those plastic containers that have a really nice label, many of them burned by the TransAct BOHA! Terminal. So that's one area that's doing well. And then the second one is food service management, which we have clients like Sodexo and Aramark, as an example, I believe Compass Group is also a customer of ours, and they automate large organization facilities. It can be a rest home, it can be a sports stadium, it can be a hospital. It can be a college campus. It can be a large manufacturing facility, and they basically set up food service for maybe 5,000, 6,000, 7,000, 8,000 and 20,000 employees in some cases, and they have multiple stations with multiple items, and they need a sophisticated food service technology supplier, and we're doing really well in that market as well. So I'd say those are the two highlights that we find very exciting right now. And then I will mention, we're finding that there's an opportunity in the medical field. We had a win a couple of quarters ago where we provide Temp and Sense capabilities for senior living home where we provided the sensor devices that we're on, all the small refrigerators that held the control medicinals, we don't want the temperature and one of those refers to go bad because the chemicals in the medicinals sometimes go bad and you don't want to damage grandma by giving her a damaged medicine. And at the same time, those medicines are sometimes very expensive. So we're winning business like that, and we're finding that food service in the hospital space, in the medical space is something that's actually a pretty good opportunity for us. And we have developing partnership with several suppliers into those spaces. Know the industry better than we do, but basically can take our technology in because they've already got a relationship. So we're excited about that sort of or orthogonal opportunity as well.
Jeff Martin: Great. And then could you touch on pipeline conversion for CAC ST?
John Dillon: It's pretty good. I thought it was in our script, but we closed six new clients this quarter -- this last quarter, brand-new customers with the potential of about 1,800 units over time. So like the land and expand scenario is one that we like. Conversion is pretty good. We are still refining some of the metrics that we need to be familiar with CAC -- Customer Acquisition Costs, Lifetime Customer Value - LCV. What we are focused on, we have a very growing degree of sophistication in our pipeline management from who we target as potential customers, how we figure out the [indiscernible] in each one of those clients and then we put them into the top, we market to them and look at the conversion rate all the way down from when it's just a suspect who might need our technology to becoming an opportunity. We go through the MQL, the Marketing Qualified Lead handed off to the sales team to make it a sales-qualified lead if it does and all the way down to the different steps in the sales cycle and then we're looking at the close rate. And what we do is we look at the yields at each one of the steps and where the yield somehow isn't consistent with the yield all the way through the funnel, we assume there is a constraint. We dive in and we figure out what it is. Is it pricing? Is it technology? Is it -- we didn't say the right things or we didn't engage with the right people in the organization. And it's kind of -- I know this is a broad answer but we are working very aggressively on improving yield all the way through probably 15 different steps through. We don't even know who you are, but we want to use a customer to we got to close deal. And that's a process that we're refining every quarter, and we're making progress on it. It's pretty complex, candidly, but let's just say, we believe that the machinery there is working better and better. And we're getting a good handle on it.
Jeff Martin: Okay. And then with respect to the QSR rollout where are we? If you want to use a baseball analogy, what inning are we in, in terms of fulfilling as many of those 40,000 legacy units as possible?
John Dillon: I'd say we just finished maybe -- maybe we're still at that in the second inning, maybe at that in the third inning. I don't know whether it was a home team or the visitors, but it's going really well. I mean, we don't treat that client as a new customer per se, but there have been a couple of cases where we've won entirely new markets where we never were before. Our permission, if you will, from the headquarters has historically only been to sell our product in North America, but the permission we have now is global. So we can sell in every country in the world where that QSR is present. And that's a pretty big market opportunity. And so far, we're finding the uptake is very positive and very successful.
Jeff Martin: And then, last one for me. As we look at the revenue guidance range maintained at $47 million to $52 million, anything we should consider in terms of how that comes in on a quarter-by-quarter basis over the balance of the year?
John Dillon: I don't think so. I think we tried to provide some guidance that says we think that we can continue to improve the year-over-year performance. But the business still is lumpy. We mentioned we had a convenience store operation that has 700 units that upgraded with an enormous number of upgraded terminals from basically the prior terminal to the BOHA! 2. And those orders happen, but they're lumpy. We take revenue when we ship. So sometimes they want it all at once, sometimes they don't. So I think you should assume that the business will still have a little bit of ups and downs in it. But I think what we're saying is, quarter-over-quarter, when we look at it year-over-year, I think we can say that we expect that we can continue to improve.
Jeff Martin: Thank you.
John Dillon: Thanks, Jeff.
Operator: Thank you. [Operator Instructions] At this stage, there seem to be no further questions on the conference. I will now hand back -- hand the call back to John Dillon, for closing remarks. Please go ahead, sir.
John Dillon: Thank you very much. And once again, everyone, thank you for joining us, thanks for your support. And we look forward to talking to you if you're interested in conversations during the next quarter, but of course, again in August on our next quarter two earnings call. And again, thank you very much. And if it's summer coming up, I hope you have a great summer vacation and we're looking forward to continuing to deliver on the promise. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, that then concludes today's conference. Thank you for joining us. You may now disconnect your lines.